Aiman Ezzat: Good morning, and thank you for joining us for this Q1 2025 revenue call. I'll be joined today by our CFO, Nive Bhagat. So in Q1, the group delivered the performance slightly better than our initial expectation. This comes despite the macro and geopolitical environment that remains challenging. The group generated revenues of €5,533 million, representing a year-on-year revenue decline limited to minus 0.4% at constant exchange rate, which represents a 70 bps improvement on the Q4 rate. The contribution from M&A in the quarter is around 1 point. Bookings were up 2.8% at constant exchange rate and reached €5,884 million. This represents a strong book-to-bill over Q1 of 1.06. Looking at the trends we observed in this first quarter, they are consistent with our anticipation. From a sector perspective, Manufacturing remained weak, with growth rates similar to Q4 and therefore, continue to weigh on the group growth. Financial Services and Public Sector on the other side maintained the good momentum enjoyed in Q4. The improvement compared to Q4 primarily came from the energy utilities, TMT and services sector. Now from a geo perspective, North America is back to slight growth in Q1 at plus 0.8%. Growth rates in the U.K. and Ireland and Asia Pacific and Latin America are also accelerating, and that's partly offset by the deceleration observed in the rest of Europe. Finally, France has now past the trough. And from a business perspective, Strategy & Transformation maintained its positive growth rates. Application & Technology returned to growth this quarter, while Operations & Engineering decelerated to minus 2.6%. When we look at the clients, they are really focused on transformation programs at improving agility, cost and efficiency of the operation at the expense of what we consider as being more growth-oriented project. And as you expect, discretionary spending remains subdued. Now compared to 3 months ago, the level of uncertainty increased with geopolitical and tariff tensions. At this stage, the group has not seen a material impact on client decisions compared to the beginning of the year. But of course, we remain extremely cautious of any potential development. In that context, Capgemini high value-added services around cloud data AI, digital core or even digital continuities continue to enjoy a good growth in Q1. Our offerings portfolio aligned with current customer needs is leading to some noticeable deals. For instance, for U.S. leader in the pharma industry looking to significantly increase production capacity in Europe in the next few years. We were chosen to transform and accelerate the digitization of their manufacturing processes, thanks to our industry expertise and strength in manufacturing execution system. We will also manage a dedicated application management service center for their production lines, IT systems. For European clients in the defense sector, we are developing a digital twin for various components of a defense platform. This project leverages the result of a dedicated test campaign. Our comprehensive activities include mechanical analysis prediction and correlation of test results and the development of advanced programming tools to interface sensor readings with a structural model. This integrated approach ensures accurate and efficient monitoring and optimization of the platform structural integrity. Now continuing on that, let's illustrate now the ongoing dynamics in the defense sector in Europe, where we see increasing opportunities. We are building on a strong track record and leadership position over many years. In 2024, we generated about €1 billion of revenue in European defense, up 12% year-on-year. We are well positioned being one of the very few European skilled players combining a leading position in all relevant industries, combining digital engineering, data and AI, cyber and transformation capabilities. Looking at our activities across Europe, we are engaged with the Ministries of Defense, with the EU, with international agencies to provide direct support for the transformation of Armed Forces. We provide support to most top-tier defense industry players across Europe on their ongoing program. Our support extends to their supplier networks, addressing demand for ramping up and ensuring high-quality standards. Beyond mastering supply quality and production management, we also help with the integration of workforce management and data tech and AI foundations, of course. We are involved in several upcoming key defense programs and we are working with specific agencies on next frontier program usually on cutting-edge technology. We are committed to support the acceleration of European defense. We launched a specialized defense acceleration program, designed to address cross-border defense programs, accelerate the buildup of capabilities and strengthen our collaboration with ecosystem partners. Now moving to AI. The traction, of course, is very -- continues to be very visible around AI and data, where client demand remains robust. This dynamic is supported by generative AI, which drove more than 6% of our Q1 bookings. We also have the emergence of Agentic AI, which is driving a new wave of operational efficiency and value creation. The market is increasingly receptive to AI agents, and we are strategically positioned to save this growth opportunity. Our investments in key assets are bearing fruits. For instance, we deployed a platform to create, integrate, orchestrate and monitor trusted AI agents, coupled with our Agentic AI gallery. It will help us accelerate deployment at our clients while ensuring security and privacy. We enriched our offering with Agentic AI to bring them to the next level of hyperautomation. Context understanding and scientific innovation, we now have 10 Agentic AI offers addressing customer experience, engineering, operation or application mainframe refactoring. We also reinforced our ecosystem of technology partners. We now have 25 dedicated partnerships. We recently expanded our strategic partnership with Google Cloud to transform customer experience across the industry, with Agentic AI and with NVIDIA to build bespoke AI agent driven solution tailored to various industry use cases. We already successfully executed numerous projects on Agentic AI by leveraging AI agents, we can achieve hyperautomation of complex variable processes that were previously beyond the reach of traditional data RPA or conventional AI methods. We're also combining agents with generative AI assistant to augment the human teams on what can be automated. Let's highlight a couple of examples from the first quarter. For BAT, we developed AI co-scientist agents to support the R&D teams, which will result in more efficiency and effectiveness in R&D and providing them with the capability to gain insights and value from both external and internal data sources and also predictive models. And for European telco, we are developing an Agentic solution to enable autonomous networks with the implementation of agents in network domain coordination. In spite of increased geopolitical tariffs and tension, for the moment, the group has not seen a material impact on client decision compared to the beginning of the year. After this Q1, we also expect Q2 to be slightly better than anticipated and therefore, now see our H1 constant currency growth at slightly better than Q4 rate. We are confirming our financial objective for 2025. And as such, we do retain the cautious stance adopted at the beginning of the year. As a reminder, our financial objective for 2025, our revenue growth of minus 2% to plus 2% at constant currency, operating margin of 13.3% to 13.5%, and organic free cash flow of around €1.9 billion. Thank you for your attention. I'll now hand over to Nive.
Nive Bhagat: Thank you, Aiman, and good morning, everyone. I'm pleased to share with you our Q1 2025 performance. Let's start with our quarterly revenue growth. As highlighted by Aiman, we had a good start to the year. Q1 revenues came slightly above our expectations at €5,553 million, up plus 0.5% year-on-year. Currency movements had a positive impact of 90 basis points, mainly due to the appreciation of the USD against the euro. So the revenue decline at constant currency was limited to minus 0.4%, which represents a 70 basis points improvement on the Q4 2024 growth rate. Finally, in line with our comments at the beginning of the year, M&A contributed to around 1 point in Q1. A word on currencies, there has been a lot of volatility lately. Based on where we are today, we expect FX impact to now turn negative from minus 1.5 to minus 2 points in Q2 and minus 1 to minus 1.5 points for the full year. Looking first at revenues by sector. At constant currency, financial services and the public sector maintained their solid momentum in Q1 2025 and grew by 2% and 2.7% year-on-year, respectively, in line with their performance in Q4 2024. The energy and utility sector improved by 470 basis points in Q4 growth rates returning to growth in Q1 at plus 2.5%. The TMT sector delivered a fourth consecutive quarter of improvement with robust growth of plus 3.8%. The Manufacturing sector remained weak, but did not degrade further. It declined by minus 5.9% in Q1, a rate similar to Q4. The consumer goods and retail sector turned slightly negative in Q1 to minus 1.5%. Finally, revenue growth in the services sector improved by 340 basis points on Q4 2024 with a decline limited to minus 1.8% in Q1. Moving on to revenues by region. The improvement in the growth rate compared to Q4 was primarily driven by a 240 basis points acceleration in North America and a 240 basis points improvement also in the United Kingdom and Ireland region. Revenues in North America were back to slight growth in Q1, up plus 0.8% year-on-year. This performance was driven by TMT and financial services sector is partly offset by a decline in the Manufacturing sector. Growth in the United Kingdom and Ireland region accelerated to plus 3.9%. Public, Energy & Utilities and Financial Services sectors contributed to this growth. Revenues in France declined by minus 4.9%, most notably due to persisting weakness in the Manufacturing and Energy & Utilities sectors. In the rest of Europe region, revenues were down by minus 2.3%, reflecting the decline in the Manufacturing sector, whereas other sectors were broadly stable. Finally, the Asia Pacific and Latin America region enjoyed solid growth with revenues up plus 7.6%. The public and TMT sectors posted a strong growth, complemented by robust momentum in the Financial Services and Manufacturing sectors. Moving on to revenues by business. At constant currency, total revenues of our management consulting business, Strategy & Transformation Services grew by plus 1.2% year-on-year in Q1, in line with our performance in Q4 2024. Application & Technology Services, which is Capgemini's core business, returned to growth in Q1 with plus 1.9% year-on-year. Conversely, total revenues in Operations & Engineering services further declined in Q1 with a contraction of minus 2.6%, weighed down by the large exposure of engineering services to the weak manufacturing sector. Moving on to the bookings evolution. Q1 bookings amounted to €5,884 million, up plus 2.8% year-on-year at constant currency. This corresponds to a strong book-to-bill ratio of 1.06. This is above the historical average for the period and reflects our good performance on large deals. Moving on now to the headcount evolution. Total headcount increased slightly over the past quarter to reach 342,700 employees at the end of March 2025. This represents an increase of 0.5% compared to December 2024 and 1.6% year-on-year. Onshore headcount decreased by 1.4% to 143,300 employees, while offshore headcount was up plus 3.9% to 199,400 employees. This corresponds to 58% of our total headcount, up plus 1 point year-on-year. Lastly, attrition remains in our optimal operating range at 16.1% on the last 12-month basis. On that note, I hand back to you, Aiman, for the Q&A session.
Aiman Ezzat: Thank you, Nive. So let's now open the Q&A to allow maximum number of people in the queue to ask questions. [Operator Instructions] Operator, could you please share the Q&A instructions.
Operator: [Operator Instructions] Our first question comes from Frederic Boulan from Bank of America.
Frederic Boulan: So my question is on the outlook. If you can spend a bit more time on the underlying macro assumptions you have, are you expecting a fairly stable H1 versus the midpoint of the range? That leaves a pretty wide range for the second part of the year. So it'd be good to understand a little bit the assumptions on both sides? And more specifically, what you're seeing in terms of elongated discussion cycle, discretionary spend and manufacturing where we've seen a bit of a stabilization but still a fairly negative level? And then if I can get a follow-up around gen AI, I mean, very interesting pipeline. Is it all additive at this stage? Or are we starting to see some contracts where gen AI also enables much faster delivery and some form of deflation. So where are we on that?
Aiman Ezzat: So I’ll consider there’s 2 questions. One is around the outlook and the second one is around gen AI. So listen, on the outlook, as we said when we talked in February, we said we expect H1 to be, from a constant currency, at about the same level as Q4, which is minus 1.1%. And we have about 1 point of M&A in the first half. Now after that Q1 and what we see in Q2, we see it’s going to be slightly better than what we initially said, so slightly better than minus 1.1% in terms of constant currency. So what we see is stabilization for the moment in the environment. The outlook regarding H2 remains wide because we remain cautious. I mean we said we don’t see for the moment the impact from trade tension and tariffs flowing down to material impact on decisions from our client. That doesn’t mean that these things don’t change in the coming weeks. The environment is still volatile. So we’re going to keep our cautious stance for H2 as we had in February because we know things might change, because the tariffs and the tensions are changing every day, and that will – might end up having an impact. But right now, we don’t see it. So this is for the outlook. On gen AI and AI, listen, it’s definitely driving demand. I don’t believe it’s all accretive. I think some of it is accretive, of course, but some of it is not, but it’s fueling a lot of discussion and a lot of new transformation programs. I think certain things that we see today in terms of potential deals would not have happened without gen AI and the new technology is playing out and agents is another part that’s basically coming and fueling more discussion, more decision. Also, from our perspective, I think we start to have a pretty good maturity in terms of understanding where things can play, how do you do hyperautomation. We start to have the development of assets, which are specific to different parts of the business to our business services or digital operation part, in our engineering part, in our application part, in testing, in infrastructure in – around insight and data. So we really start to have very specific assets that enables us to help develop agents and deploy them much faster. So we see an acceleration, and we’re seeing the impact and the ROI will materialize more and more on clients, which will continue to drive a pretty good and healthy growth coming from all the area of AI, data, gen AI and now Agentic AI.
Operator: Next question comes from Balajee from Citi.
Balajee Tirupati: Balajee Tirupati from Citi. One question and a follow-up from my side as well. Firstly, I'll congratulate you on your results, particularly given the volatile environment. On question, while you have mentioned broadly unchanged client behavior, could you share how you see end markets progression going forward, at least in the near term? Also, if you could share any color on when you see trough for manufacturing sector, and are we already there with around 6% decline in last 2 quarters? And a follow-up on the competition or competitive environment, with increase in uncertainty, the potential is also for heightened focus on cost from your clients. So have you seen competitive behavior in this environment?
Aiman Ezzat: Okay. Listen, on the end markets, I mean, it’s clear that it’s heavily impacted by some of the sectoral trends. So the Manufacturing sector is definitely weighing on countries like France and Germany, which are heavy on Manufacturing. So that’s not surprising. Public Sector, Financial Services tend to be good. So U.K. looks better because it’s heavily Financial Services and more Public Sector in the U.K. So I think the sectoral trends continue to a certain extent to influence what we see globally. Latin America continues to be extremely good. APAC, we see rebound, notably very high growth in Middle East, for example. So Continental Europe is a bit subdued because of Manufacturing, notably, not only, but this is kind of really seeing that way. Have we seen the trough in Manufacturing? I don’t think that it’s going to improve very quickly in the short term. I think hopefully in H2, with a stabilization and base effect, we should start to see less impact. But I think we still see the impact going in the second quarter. It remains a difficult environment because the clients are not going to resume spending for the moment, which means we start to see stabilization, but not a pickup in spend. On the competitive environment, listen, the market is slow, so it’s competitive, but price have been competitive for a while. So I don’t see any fundamental change. We still see some consolidations going on. They are competitive. We win a number of them. They bring you volume, but we have to compensate. So yes, there is pressure on margin, but there is nothing new compared to what we have seen, I’ll say, in the last few quarters. It’s an environment that remains quite competitive with price pressure because the market is soft.
Operator: Our next question comes from Sven Merkt from Barclays.
Sven Merkt: Just maybe a follow-up question on Q2. You mentioned you anticipate still better than expected. But could you maybe perhaps also give us a bit more color how you see the Q2 relative to Q1? Is it fair to say that this growth should be broadly similar? Or would you expect Q2 maybe be even better than Q1? And then secondly, how much is the weakness in Manufacturing and the weakening in operations been driven by intelligent industry versus just for the core IT services?
Aiman Ezzat: Yes, yes. On Q2, you’re asking me for – I mean, the way you phrased your question, you asked me for the number for Q2, and I’m not providing guidance for Q2. So we say slightly better than expected. We said minus 1.1% in constant currency in expected more or less in H1 and we think it’s going to be slightly better. I think you can drive what Q2 looks like a little bit. On the Manufacturing side, I think it’s across. So yes, of course, engineering is heavily impacted by Manufacturing, but so is the rest of the spend. So when clients start to squeeze, they squeeze everything. So that might be 1 or 2 points different between engineering and IT, but this is the kind of thing we’re talking about. So it is in the same range. It’s not specific on operations or engineering, it’s also – it’s across basically the overall spend.
Operator: Next, we have Mohammed Moawalla from Goldman Sachs.
Mohammed Moawalla : Great. Congrats on the quarter. I mean just wanted to better understand what kind of drove the outperformance. Was it better execution? Was it perhaps more prudent kind of expectation management. And as you look forward, you still cautioned around the environment, and I know IT services has a kind of a lagged effect often. So just curious to see if you're still comfortable, I think, with your prognosis at the start of the year that the midpoint would be a reasonable starting point. And then if you can just give us the kind of the variables around what can cause you to kind of over and undershoot? Is it just macro? Or are there any specific initiatives? And the second question was, you called out sort of defense quite discreetly in the slide. Just wanted to understand how big of a driver this could be over and above kind of say, AI for you? And have you built anything in terms of your short or medium-term expectations in terms of that opportunity?
Aiman Ezzat: Okay. So the better performance, I think we just executed a bit better. As you know, we have launched some initiatives to be able to improve our execution in some areas. And I think we are starting to execute better in a number of areas. We have done, as you know, some changes of leadership, notably in North America, and this starts to have an impact on the ground. So I think part of it is definitely execution. I cannot say that the environment has significantly improved in the last 3 months. But on the other side, as I said, we have not seen a big deterioration for the moment as well. The scenario going Into -- when you say the likely scenario is the midpoint, I mean, again, here, this – I cannot – for me, if nothing changes yet, but the question today with what’s happening, there’s so much volatility, in 3 weeks, the scenario could look somewhat different. Remember, this tariff plays a huge amount in terms of people’s psyche, in terms of how they’re going to make decisions around investment in the coming weeks. So I – that’s why we remain with something looking quite wide going into H2. I think we planned what we anticipated that well when in February and our scenario does cover the fact that things deteriorate, okay? So we kept that caution in the scenario because we know that things could get worse and we could have an issue that basically doesn’t look good. So I don’t expect deterioration beyond what we already gave you in the guidance. So we consider we have enough caution already built in the guidance to take that into account. But so far, we haven’t seen and definitely, we don’t see it going into Q2. On defense, for us, it’s an opportunity. And I think because everybody talks about it, because Europe is going to spend more on defense, I thought it was – we have already started working on it. We did not wait for the last 3 months to work on it. We already had anticipated that. We have a defense task force that has been going on now for a couple of years. And we consider – there’s an opportunity based on the amount of technology, our engineering capability, our transformation capability, our digital capability to be able to play a bigger role. And we’re already well positioned with a number of defense players in Europe with Ministries of Defense and we thought it was important in the current context to highlight what we’re doing in that area as this is going to be seen as the growth opportunities for the coming years.
Operator: Our next question comes from Nicolas David from ODDO BHF.
Nicolas David: Yes. Congrats also from my side regarding this solid Q1. My first question is a follow-up regarding the short-term trends. Notably, I mean you mentioned that you didn't see any major impact on your business. But if we take the most discretionary business you have and the time and material business, notably in engineering services, do you see some changes in the month of March versus January and February, nevertheless? And this is why you are relatively cautions nevertheless for Q2 overall? And my second question is, could you comment on your appetite to reinforce potentially your BPO business notably in the light of some media reports about M&A there?
Aiman Ezzat: Okay. So listen, no, frankly, we haven't -- I cannot say that we have seen something negative turning out in March. So I mean our -- on Q2, which is slightly better than expected. So I'm not cautious around Q2. I'm cautious for the rest of the year, not necessarily on Q2 because Q2, we don't see a degradation. On your second question, as you know, we don't comment on market rumors, but it's a good try.
Nicolas David: And no comments regarding BPO overall and your view on this business?
Aiman Ezzat: No. I mean we have business services. I think it’s a good business from – in the current environment, as you know, from a digital operation. There’s good opportunities. So it’s something we continue to pursue, but nothing beyond that.
Operator: Next, we have Laurent Daure from Kepler Cheuvreux.
Laurent Daure: Yes. I also have two. The first is on the nice resilience at the start of the year, slight bit to your own expectation despite the worsening macro. I was hoping to get what went better than what your planed? Any specific vertical or regions? And in particular, compared to most of your peers that are decelerating, did you have specific help on big contracts starting at the start of the year? So any granularity on this would be very helpful. And my follow-up is more precisely on the rest of the world, Lat AM and APG, it's the second quarter with big improvements. I think you improved 10 percentage points in 6 months' time. So what's happening there? Anything specific as well?
Aiman Ezzat: Sure. No, listen, it’s slightly better. So let’s not consider something has gone much, much better. So it is slightly better. U.K. was probably slightly better than what we have expected. France improved a little bit compared to Q4. So you have some little improvement right and left. And then yes, the APAC, Lat Am growth was also a bit better. I mean that’s really what drove and North America returning to slight growth was also good. So I think it’s in different areas. And as you see, when we looked at the sectors, we see compared to Q4, where, I mean, we had improvement in TMT. We had improvement in services. We had improvement in Energy & Utilities. So that’s really where we saw some of the addition better. APAC, Lat Am growth, we have good growth. I mean we have healthy and very good teams in – notably in Brazil and Mexico, they’re driving good growth in Lat Am. And I think in the APAC area, Australia is doing better. Financial Services, and this is becoming more healthy. We had some good wins and consolidation that are now paying off. Middle East is growing fast from a small base, but we have a very strong growth in the Middle East. We are able to penetrate some very large accounts. And of course, that’s providing some good traction moving forward.
Operator: Next, we have Toby Ogg from JPMorgan.
Toby Ogg: Just a first one, just on your organic growth, you indicated around one point of M&A contribution in Q1. And I think at the full year results, you talked about 1 to 2 points of inorganic for 2025. So just an update on whether that remains the same would be great. And then just secondly, just on the demand environment, I know you've indicated you haven't seen a material impact on client decisions. But have you seen any differences in behavior from customers' pre-Liberation Day end of March and post-Liberation Day in April? And then what are clients saying to you now around their spending plans?
Aiman Ezzat: Sure. So on the M&A impact, I mean, it hasn’t changed. So far, it’s still about 1. That’s what we have embarked. So far, no change from that perspective. What clients are saying about investment plan? As I say, I haven’t seen material. I mean, again, for me, it’s simple. I look at what’s happening compared to what we expect. And then I have the feedback from teams on the ground. Seeing our clients are starting changing decisions or putting on hold some projects. So you can have 1 or 2 projects put on hold right and left, but it becomes an anecdote in the context of what we’re trying to manage globally. That’s why we say we don’t see any material impact. Have we seen a difference in terms of thing? When you have discussions with clients, there is a bit more concern, but everybody is waiting to see exactly what’s going to happen around this tariffs and what’s really going to hold at the end of the day. That’s why I say it’s still a wait-and-see game, that’s – but a decision that clients wanted to take in terms of making things happen or programs we have, like in digital continuity on digital core, like deploying SAP, we haven’t seen clients pulling back and say, “No, no, we stop or we’re going to delay decision by 6 months because of the current environment.” So we haven’t seen that happening. Yet, but we remain cautious. I remain cautious because I know that things can change in the coming weeks, but so far so good.
Operator: Our next question comes from Michael Briest of UBS.
Michael Briest: I guess, Aiman, you had the results in late Feb, and at that point, you're expecting organic growth or constant currency growth to deteriorate. So it's quite a big swing in the last month or so of the quarter. Can you talk about what went better and why your visibility didn't sort of capture that? And then in terms of France, I think you were quite categorical in saying it's past the trough. Could you talk about why you have that confidence? And maybe on auto aerospace related to that, is there something in the comparators that means that you feel that you're on an improving trajectory in France?
Aiman Ezzat: Yes. So I mean we didn’t have a significant improvement. I mean we said is slightly better. So I cannot say that basically something has fundamentally changed. As Laurent asked me before, and I answered, things were a little bit better in some places like in the U.K., like in Lat Am and APAC, U.S., but it is slightly better. It’s not suddenly we go 2 or 3 points more growth than what we expected. So I will caution here. It’s good that first things have not deteriorated and they got a little bit better. So that’s what has changed. We did not expect things to deteriorate. We said H1 should be in line with Q4. Yes, there’s a little bit more M&A in H1. So yes, we’re expecting a little bit of deterioration potentially going into Q1, there’s a bit less, but it’s not – it’s good news, but it’s not a significant change from that perspective. On France, again, it’s a question of looking at the environment, what we have in the pipeline, what team says on the ground. And yes, you’re going to have base effect that will start playing because of the decrease we started seeing in Q3 and Q4. But we feel that we have past the trough. When we look at our Q2 and moving forward, things are improving a little bit. It’s not material at this stage, but at least we don’t see further degradation coming in France for the moment based on the current perspective that we remain cautious, as I mentioned before.
Operator: Our last question comes from the line of Charles Brennan from Jefferies.
Charles Brennan: Can I just ask a quick question on profitability and margins, it feels like there are 2 opposing forces at the moment. On the one hand, you've got better-than-expected revenues and decent utilization that should be beneficial for margins. Yet on the other hand, you're talking about some pricing pressure across the industry that's potentially a drag to margins. Just at this stage, can you talk about whether you've got incremental comfort or otherwise in the margin guide? And is there anything to call out in the H1 and the H2 phasing? Obviously, at the moment, H2 revenue is expected to be better than H1. Should we expect the margin performance to be 2H weighted?
Nive Bhagat: So just as a reminder, when we had set out our guidance for the margin, we had said it was 13.3% to 13.5%. And the top end was predicated on some level of acceleration. Now clearly, should that acceleration come through, then hopefully, some of that will start to come through. So in terms of the seasonality that you talk about, I don't expect it to be a big swing either which way, there could be some seasonality in H1 as a result of that, but I don't see that to be a big thing. But I come back to saying that our focus on margin is stronger than ever before. So we focus on our portfolio mix. Aiman talked a lot about the various value-added services and really the focus of the value-added services is where we'll bring that, if you like, the improvement that we will see in terms of gross margin. But I think it's also important to also understand that we're focused on our operational parameters, whether it's our utilization, offshoring, G&A, I talked about that in February. So that's something that we continue to be focused on as well. So focus continues as far as the margin is concerned, but any kind of reacceleration will be important if we have to get to the top end of the guidance.
Charles Brennan: Can you see any scenario in which H1 margin is down year-on-year with a recovery in H2? Or are you confident that we'll see at least margin stability throughout the year?
Nive Bhagat: As I said, there could potentially be a small sort of seasonality effect in H1, but I don't see a big swing, no.
Aiman Ezzat: But like we can have a potential any year.
Charles Brennan: Which is no different to any of the previous years or this year for that...
Aiman Ezzat: Okay. Thank you very much, and we look forward to seeing you in the coming weeks.